Operator: Good morning. My name is Jodie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Jacobs Engineering Fiscal Second Quarter 2018 Earnings Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Jonathan Doros, Head of Investor Relations, you may begin your conference.
Jonathan Doros - Jacobs Engineering Group, Inc.: Thank you. Good morning and afternoon to all. Our earnings announcement and Form 10-Q were filed this morning, and we have posted a copy of the slide presentation to our website, which we will reference in our prepared remarks. I would like to refer you to our forward-looking statement disclaimer, which is summarized on slide 2. Certain statements contained in this presentation constitute forward-looking statements as such term is defined in Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, and such statements are intended to be covered by the Safe Harbor provided by the same. Statements made in this presentation that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive, financial, and economic data, forward-looking statements are inherently uncertain, and you should not place undue reliance on such statements as actual results may differ materially. We caution the reader that there are a variety of risks, uncertainties and other factors that could cause actual results to differ materially from what is contained, projected or implied by our forward-looking statements. For a description of some of these risks, uncertainties, and other factors that may occur that could cause actual results to differ from forward-looking statements, see our Annual Report on Form 10-K for the period ending September 29, 2017 as well as our filings with the Securities and Exchange Commission. We are under no duty to update any of the forward-looking statements after the date of this presentation to conform to actual results except as required by applicable law. Please now turn to slide 3 for a review of the agenda for today's call. I would like to note a few items in regards to our presentation and remarks today. Our results reported today included a review by our three updated lines of business. For comparative purposes, we had disclosed revenue and operating income for this updated structure reflecting the current quarter and accordingly, the same quarter a year ago. We plan to provide historical segment level data on a rolling quarter basis. During the presentation, we will discuss comparisons of current quarter results to Jacobs and CH2M's performance in 2017 calculated on a pro-forma basis. The 2017 pro forma figures are adjusted to exclude restructuring and other related charges, the deconsolidation of CH2M's Chalk River joint venture and CH2M's MoPac project. We believe this information helps provide additional insight into the underlying trends of our business in comparing current performance against prior periods. Turning to the agenda, Steve will begin with a discussion of our core values, provide a recap of our second quarter results including a market review of each line of business and provide an update on our CH2M integration. Kevin will then provide some in-depth discussion on our financial metrics as well as review our balance sheet and capital allocation strategy. Steve will then provide our outlook for the fiscal year along with some closing remarks, and we'll open the call for questions. With that, I will now pass it over to our chairman and CEO, Steve Demetriou.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you. Welcome to our fiscal year 2018 second quarter earnings call. Before we review our quarterly results by each of our new lines of business, I'd like to briefly discuss some key topics that align with our core values at Jacobs. This week, two very important industry-wide initiatives are taking place, which we're actively involved: Safety Week where Jacobs and approximately 60 other firms globally sponsor initiatives to raise safety awareness. Actually, at Jacobs, every day and all year, we persistently drive safety excellence with our best-in-class BeyondZero framework, which enables us to consistently achieve industry-leading performance. This week, we're also observing Drinking Water Week and are pleased to build on our commitment to improve water resources around the world, delivering the industry's most highly commended innovations gained with our recent CH2M acquisition. And to further differentiate Jacobs, we've extended our culture of caring in mental well-being and sustainability with our Plan Beyond strategy and in steps we're taking to lead our industry and diversity. We're building on an innovative inclusive culture to make Jacobs the employer of choice everywhere we compete. We are putting muscle behind these efforts to provide our clients big brain thinking, the kind that happens when scientists, engineers, biologists, architects, builders, and technologists tackle problems together. With the Jacobs-CH2M combination, we've grown to approximately 77,000 employees, and our commitment to our core values and employee culture positions Jacobs to attract the best and brightest. At Jacobs, we understand that a great culture makes a great company, and we're on a mission to create a new kind of professional services company, one that is like no other in the world today. Turning to slide 5, we're on track to deliver strong fiscal year 2018 results, reflecting the fact that we're executing well on our major strategic priorities to build a winning culture, to drive increased margins across all lines of business with differentiated client-centric solutions, and to profitably grow by focusing resources on higher-margin opportunities and executing our work with excellence. And with regard to the recent CH2M acquisition, our commitments are deliver targeted cost synergies and drive profitable revenue growth synergies and to accelerate deleveraging in this second half of fiscal 2018. We continue to benefit from strong end market demand across our Aerospace, Technology, Environmental and Nuclear line of business and our Buildings, Infrastructure and Advanced Facilities business along with improving fundamentals in our Energy Chemicals and Resources sector. Revenue on a pro forma basis grew 16% versus the prior year. Notably, we saw the strong pro forma revenue growth across all lines of business. We continued to deliver on our strategy to drive improved project execution and benefited from the higher gross margin mix from the CH2M acquisition, now with total gross margin in the second quarter at 19.7%, up 140 basis points from last year's second quarter reported margin. As a result, I'm very pleased with our second quarter adjusted earnings of $1 per share, an increase of 28% year-over-year, which included an expected $0.09 charge for a legal matter. Kevin will cover the components of EPS including a bridge to GAAP EPS in his remarks. Second quarter backlog increased sequentially to $26.5 billion and is up 9% on a pro forma basis from last year's second quarter, with all three of our lines of business contributing to the pro forma backlog growth. It is also important to note that our second quarter backlog excludes the impact of approximately $400 million of previous awards that remained under protest at the end of the second quarter. Our second quarter is clear evidence that our transformative acquisition of CH2M is off to a great start. We're creating a lot of excitement with our clients with our new combined offerings, and the culture integration is surpassing my expectations, and cost synergies are on track in gaining momentum. Turning to slide 6, as I just noted, our second quarter revenue and backlog was strong at over $26.5 billion, a 9% year-over-year pro forma growth. Higher margin professional services backlog grew 10 % on a pro forma basis. From a line of business perspective, ATEN backlog on a pro forma basis was up 19% year-over-year, and BIAF backlog increased by 7%. We also experienced modest growth in our ECR business, which was up 2% year-over-year as commodity-driven end markets contributed to stabilize our business and are showing signs of recovery. More importantly, overall gross margin and our backlog is now up 100 basis points year-over-year on a reported basis, demonstrating the higher margin mix from the CH2M acquisition. Turning to slide 7, let me discuss the performance by our line of business beginning with Aerospace, Technology, Environmental and Nuclear, our ATEN business. We had a very strong quarter in ATEN as revenue grew 16% year-over-year on a pro forma basis, and operating profit was up more than 30%, excluding a onetime legal matter. With this growth trajectory, our ATEN line of business is on track to generate approximately $4.5 billion of revenue in calendar 2018, making it one of the largest government service providers in the industry. In Q2, ATEN posted strong backlog growth, up 19% versus last year's combined second quarter backlog with both legacy Jacobs and CH2M contributing to the growth. I'm also pleased that the gross margin in the ATEN backlog increased year-over-year. There remains approximately $400 million of previous awards under protest, which we expect will be successfully cleared and added to our backlog by early fiscal year 2019. This strong overall growth more than offsets the approximate $100 million per quarter burn-off associated with the previously noted confidential contract that is up for renewal later in 2019. We continue to feel confident in this rebid renewal opportunity. Strategically, our ATEN business is benefiting from two dynamics: an acceleration in end-market demand and strong internal execution that is resulting in organic market share gains. From an end market standpoint, we continue to benefit from key national government spending priorities such as the Department of Defense, Department of Energy, and NASA that are seeing funding plus-ups. Within our commercial markets, we're also benefiting from an investment cycle in areas such as the 5G wireless build-out and high-tech areas of commercial automotive. Our organic market share gains are driven by a unique value proposition that combines strong technical expertise, a unique localized delivery model, and an industry-leading efficient cost structure. While on the surface this model seems intuitive, it is proven difficult by others to replicate. Looking forward, we're focused on driving continued market share gains and capturing adjacent opportunities in targeted areas of IT development, cybersecurity and operations, weapon system life cycle, and other areas. We're also focused on revenue synergy opportunities with a major emphasis on Tier 1 nuclear opportunities through our combination with CH2M. In many instances, these Tier 1 nuclear opportunities are highly selective multiyear government contracts worth billions of dollars. We recently commenced work on the management and operations contract with the Department of Energy at the Nevada National Security Site, an example of one of these multiyear contracts. Also last week, we were awarded an additional IDIQ contract with Special Operations Forces Information Technology Enterprise, SITEC, for $110 million over five years, which will be on top of the $778 million award that cleared protest in January. These new task orders are expected to be similar to the scope of our work with SITEC for IT and cyber support, providing comprehensive services worldwide for U.S. Special Operations Command. In summary, the ATEN business has built a solid foundation by executing against a focused strategy, and we're excited about key CH2M capabilities, which together position us well to deliver double-digit year-over-year profit growth in fiscal 2018. Now on to slide 8 to discuss our Buildings, Infrastructure and Advanced Facilities line of business, BIAF, which posted strong second quarter results. BIAF revenue increased 15% on a pro forma basis versus last year's second quarter and delivered a significant increase in operating profit. Additionally, revenue and backlog was up 7% versus last year with gross margin and backlog up nicely year-over-year. From a macro perspective, we're seeing strong demand in U.S. infrastructure, fueled by the recent omnibus spending bill and continued strength in state and local funding, which led to a double-digit growth in our pipeline of opportunities. The UK transportation market remains healthy despite Brexit, and across the Middle East and Asia, we're seeing accelerated demand. Around the world, we're seeing strong demand for the big three infrastructure priorities: water, transportation, and resilience. And we are very well positioned to benefit from this. We also believe the U.S. is in the early stages of a significant water infrastructure investment cycle. A recent EPA survey cited $473 billion of infrastructure needs over the next 20 years to improve U.S. drinking water. Our strong project pipeline in water aligns with an improving investment cycle. For example, we recently won a design-build wastewater project with the City of San Jose, California, and we have water opportunities in our sales pipeline for the next 12 months. Transportation also continues to show strong global demand. Within aviation, robust air passenger growth and overall economic expansion are driving investments in airports globally. We're leaders in airfield design and program management for some of the world's busiest airports and largest expansion programs. So, we expect to capitalize further on these opportunities. From a rail and highway standpoint, increased urbanization is driving solid demand worldwide. For example, we're a key partner to Highways England for design services as this client is entering a period of increasing spend. Additionally, we were recently awarded incremental scope with California High-Speed Rail and with the Network Rail in the UK. With regard to our built environment business, we're witnessing an increase in Smart City initiatives among Tier 2 cities. This is an area of strength for Jacobs as we combine innovative digital intelligent solutions for buildings with our deep relationships with local governments around the world. As an example, Jacobs was selected as the program manager overseeing the development of new greenfield industrial smart cities in India and Australia. And our Advanced Facilities business performed better than expected during the quarter driven by life sciences strength and semiconductor plant new builds. In life sciences, technology advances as well as reform tax legislation is driving potential U.S. investment. We're also seeing continued investments in Europe such as our recent win where we secured a construction management contract with a new biotech client in Switzerland and a contract in Ireland for a large-scale cell culture facility. Consumer electronics, cloud computing capacity, vehicle automation, and edge computing are driving increased investment in the electronics market. So, in summary, the BIAF business is making significant progress on our strategic plan and poised well for continued growth. From an integration standpoint, we're starting to see the velocity of the combined Jacobs and CH2M infrastructure business manifest as the teams are working together in lockstep, and large profitable revenue synergy opportunities are entering the pipeline. And now to our Energy, Chemicals and Resources business on slide 9. In the second quarter, our revenue in ECR increased significantly, up 17% on a pro-forma basis, and bottom line performance was strong with both operating profit and operating margin increasing significantly. And while I'm very pleased that on a pro-forma basis, ECR revenue and backlog grew by 2%, more importantly, the gross margin in backlog increased more than 100 basis points, demonstrating strong execution against our strategy to focus on pursuing and winning high-value business. I want to reiterate that our strategy in the ECR line of business will continue to focus on highly recurring lower-risk segments of the energy, chemicals and mining value chain with a high percentage of our revenue aligned to our clients' OpEx spend. This proved to be successful during the recent downturn as our ECR backlog weathered the weak energy and commodity markets better than our peers with a weighted average backlog decline in the low-single digits compared to the rest of the industry, which witnessed a much deeper decline in the 2014 to 2017 downturn. We're definitely now seeing signs of improvement across this business, but we will maintain the discipline to prioritize this low-risk, highly recurring revenue with a relentless focus on driving margin improvement and superior project execution excellence. The refining segment is providing opportunities globally as many large clients are beginning to move forward with initiatives to increase capacity utilization and expand logistics infrastructure. Specifically, we're seeing several opportunities across Asia, India, the Middle East, and the Latin America as the industry drives to expand refining capacity and make local regulatory requirements. MARPOL 2020 regulations require that shipping vessels reduce their sulfur emissions. To comply, we expect shippers to shift higher-grade fuel, which will require refiners to invest in upgrades. We're well positioned to benefit from this. Also in the downstream sector, we're involved in several opportunities for crude oil to chemicals across the Middle East and Asia. And as the second wave of U.S. ethane cracker projects move forward with six U.S. crackers planned, we expect to benefit from derivative chemicals both domestically and across the globe. In our mining, minerals and technology business, mining studies and early engineering work are up significantly year-over-year as supply is tightening, mainly driven by copper and iron ore, a great leading indicator that we will continue to see growth in this market as well. From a CH2M cross-selling standpoint, we're starting to build a robust pipeline of global opportunities for industrial water solutions. We've already secured work on multiple opportunities with our hydrocarbon and mining clients including a large steam upgrade project with an energy major. We are now working on converting several FEED opportunities to EPC or EPCM solution. On slide 10, again, I'm very pleased to report the integration of CH2M is going well. We have fully implemented the new organizational structure worldwide. As we have previously stated, a key metric for us is closely monitoring talent retention. Overall, global attrition levels are stable, and importantly, we're retaining CH2M employees at a higher rate with voluntary attrition levels in the lines of businesses below pre-acquisition levels. In fact, since the acquisition, we've actually increased net head count by 3,000, which is a testament to our growth trajectory. I'm very pleased that all major cost synergy work streams are on track to achieve targets, and Kevin will provide more detail associated with our cost synergy initiative and deal targets. As I stated earlier, we're beginning to see profitable revenue synergies being identified across the organization with large opportunities entering the 2019 pipeline. So, in summary, the industrial logic for this acquisition was predicated on creating a better combined company that does not exist in the world today. The impact of our combined scale is clearly being felt throughout the industry. Jacobs is now ranked the largest design firm by revenue according to the Engineering News-Record. I'll turn the call now over to Kevin.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thank you, Steve. And moving to slide 11, you will see a more detailed summary of our financial performance for the second quarter of our fiscal 2018 year. Again, during my remarks today, I will sometimes discuss comparisons of current quarter results to Jacobs and CH2M's performance in 2017 calculated on a pro forma basis. We believe this information will help provide additional insight in the underlying trends of our business when comparing current performance against those prior periods. So, second quarter pro forma year-over-year revenue growth accelerated to 16% from our pro forma year-over-year growth of 2% in the first quarter. This improvement of growth is consistent with our prior messaging that the fiscal 2017-2018 period would, in fact, be the inflection point to strong organic growth as our strategy gained traction. Organic revenue growth was broad-based with an increase of 19% and 10% year-over-year for both Jacobs and CH2M's legacy businesses, respectively. Gross margins were 19.7%, up 140 basis points year-over-year on a reported basis and 200 basis points sequentially. Regarding G&A, we realized good growth leverage on our G&A spend as pro forma G&A as a percentage of revenue fell 110 basis points in the current quarter versus the year-ago pro forma figure. Please note that this comparison adjusts for the legal matter in Q2, incremental CH2M acquisition-related depreciation and amortization, and the discrete benefit of the India Welfare Trust restructuring in the year-ago figure. While GAAP operating profit margin was 3.7% due to CH2M-related acquisition and integration costs, our adjusted operating profit margin was 5.6%. GAAP EPS was $0.34, down year-over-year. CH2M acquisition-related restructuring charges to achieve synergies, professional fees, and other transaction-related expenses including change in control costs impacted EPS by $0.38. Additionally, a charge resulting from the revaluation of certain deferred tax assets and liabilities in connection with the U.S. tax reform impacted EPS by $0.28. When excluding these costs, our adjusted EPS was $1, which is up 28% versus the year-ago figure, with a $0.09 headwind from a legal matter included in that $1 figure. With this performance, we remain confident that we will deliver against that EPS accretion targets that we outlined for the CH2M acquisition at the time we announced the transaction last August. Turning to our bookings during the quarter, our adjusted pro forma book-to-bill ratio was 1.1 time for trailing 12-month period and for the second quarter period, respectively. Flipping to slide 12, let's look at the sequential trends in revenue and gross margin in more detail. As we have previously stated, we are focused on disciplined project execution, reducing write-downs, and targeting higher margin opportunities throughout the cycles in our end markets. In Q2, our gross margin reached 19%, as earlier stated. The strong performance is due to a combination of solid project execution, improvement in Jacobs' gross margin, and a higher value CH2M gross profit mix. Turning to slide 13, please note that I will cover both historical performance and additional guidance into our expectations for second half growth and profitability by our updated lines of businesses. We trust this will provide additional insight and support regarding the outlook for our revised segment reporting structure. So, let's begin with ATEN. Revenue on a pro forma basis grew 16% year-over-year with growth being most pronounced in the Jacobs legacy portfolio with approximately 22% organic growth. Looking forward, we expect mid-single sequential growth off of our Q2 numbers, resulting in double-digit year-over-year pro forma growth as we continue to ramp newly awarded contracts. While operating margin percentage for the quarter was down year-over-year, there was 160-basis-point impact from the legal matter in the current second quarter results. Excluding the impact of this item, our adjusted operating margin was 7.1% above the year-ago pro forma figure. We expect ATEN margins in the second half of fiscal 2018 in the 7% to 8% range with the ability to further expand above 8% longer term. BIAF revenue grew 15% year-over-year on a pro forma basis, driven by strong growth in the Americas, Middle East, and Asia Pacific. Operating margin of 7.8% was up 80 basis points from the year-ago quarter and 40 basis points on a pro forma basis. While we expect our pro forma revenue growth to continue to be solid over the balance of the year, we do not expect the year-over-year growth to continue at this robust of a level in the second half of the year. As for margin, BIAF margins are expected to be in the 8% to 9% range in the second half of fiscal 2018. We see room for margin expansion in BIAF as we continue to drive strong project delivery metrics and benefit from the scale of the combined businesses. Lastly, our ECR business also grew 17% year-over-year on a pro forma basis as growth was driven by construction, maintenance, and turnaround projects as well as a pickup in front-end mining studies. The year-over-year growth was driven by the Jacobs legacy portfolio. Operating margin ticked up slightly to 5.3% even though the Jacobs' year-ago margin included the benefit of the restructuring of the India Welfare Trust, which added 110 basis points to Jacobs' ECR margins a year ago. Excluding that benefit in the year-ago figures, operating margins were actually up 120 basis points on an underlying basis from the pro forma year-ago period. So, before turning to the next slide and while not highlighted on the slide, our non-allocated corporate overhead increased to $36 million but was in line with our expectations and down from our pro forma figure of $44 million in Q1. For the second half of the year, we expect unallocated corporate overhead to be in the range of $25 million to $35 million per quarter excluding large discrete items. Overall, we are pleased with the strong Q2 financial performance across each line of business as revenue grew in the mid-teens on a pro forma basis for each with all realizing continued strong underlying improvements in profitability. Turning to slide 14, now let me provide an update on our restructuring and acquisition-related costs. We certainly remain on track to achieve $150 million of targeted net cost synergies we outlined with an estimated cost to achieve of $225 million, and we have realized $15 million in net synergies in Q2. Through Q2, we have incurred approximately $106 million of the $225 million in cost to achieve these synergies. These initial costs are largely labor and real estate related. Approximately two-thirds of these costs have been cash related. As of the end of Q2, we have achieved a run rate of approximately one-third of the expected synergies of $150 million. We expect to achieve a run rate savings of over 50% of the total $150 million of synergies by the end of our fiscal year. As a result, we are confident we will deliver $50 million in net synergy benefits in our fiscal year 2018. In fact, we actually believe there is potential upside to our synergy estimates although we are also considering additional investments that could mitigate the bottom line impact of these incremental synergies. Regardless, to reiterate, we are confident that we will deliver at least the net $50 million of cost synergies in 2018 and the net $150 million of run rate synergies by the end of our fiscal 2019. As it relates to our expected $225 million in P&L cost to achieve these synergies, we continue to expect that a bit over half of these costs will be cash related and be incurred over the next couple of years. Finally, as it relates to our CH2M transaction and change in control costs, we have incurred approximately $85 million through Q2. We are largely completed with these discrete onetime costs. Before we move to the balance sheet, let me provide an update on Impex (00:31:06) matter, also referenced as the Icathus (00:31:09) matter. There is no change in our expectations relative to when we conducted our original due diligence on the project as part of the acquisition of CH2M. We continue to be very early in this process, and we expect that any potential resolution of this matter will be approached well into the future. So, let's turn to slide 15 and now on to the balance sheet and capital allocation strategy. We ended the quarter with cash of $800 million and a gross debt of approximately $2.5 billion. Our gross debt level is down modestly from our Q1 level. Additionally, we have previously announced a $500 million private placement, which we expect to fund this month, with the proceeds to be used to pay down a portion of our revolving credit facility. In line with our previous commitments, we will continue to use cash to pay down our planned larger debt position as we focus on maintaining our strong investment grade credit profile. Regardless, our gross debt leverage fell to 2.2 times adjusted EBITDA at the end of Q2 versus the 2.5 times at the end of Q1 as calculated per the terms of our credit agreements. We are also maintaining our dividend program. During the second quarter, we paid $21 million in dividends, and we recently announced that our board has declared a third quarter dividend of $0.15 per share. As we deleverage to our target net debt ratios near the end of our fiscal year-end, we will again have degrees of freedom to consider additional growth opportunities, reinitiate our return of cash to our shareholders via stock repurchases, and continue our dividend program. Now, let me turn it back over to Steve for some closing thoughts.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you, Kevin. Overall, we're extremely pleased with our second quarter performance across all of our lines of business and the progress of our integration of CH2M. As such, we're raising our fiscal 2018 adjusted EPS outlook to a range of $4 to $4.40, which is up from last quarter's guidance of $3.85 to $4.25. So, operator, we'll now open the call for questions.
Operator: And your first question comes from the line of Jamie Cook of Credit Suisse. Your line is open.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Hi. Good morning and nice quarter. I guess, my first question, I was impressed with the gross margins this quarter, understanding that CH2M was accretive and helped the gross margin. I'm just trying to think about the sustainability of the gross margins in that level and was there anything unusual in there. And in that context, it's hard to not think there's upside to the back half of your year if there's nothing unusual in these gross margin numbers.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: No. No real fundamental. There's always puts and takes in the quarter, Jamie, but we feel good about the gross margin figure. And we think that these levels are sustainable, and you know that that's really fundamentally part of our strategy is to really go after work that we believe has the right risk profile, with appropriate and improving margin profiles. So, aligned with our strategy longer term, that's certainly what we're looking to do in terms of driving the gross margin profile.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: And then I guess my second question, you sort of alluded to potential upside opportunity on the CH2M savings. And you obviously said you might reinvest some of that business. But can you just sort of give us some color in terms of where you're ahead of schedule relative to what you would have thought and sort of what could be the degree of upside surprise and then where we would reinvest? Thank you.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Yes. Look, I think the over-performance are potentially as we continued to peel away the onion relative to the duplication of resources throughout the organization, that certainly has implications for potential labor improvements, but it's not just there. We're continuing to aggressively go after real estate, and that real estate can sometimes be tricky because it takes a while to move people and relocate offices and so on and so forth. So, real estate is really an opportunity as well. The final piece is a little bit more longer term, and it's really related to our system configurations and getting together in a combined organization. I think that those three things are all offering upside to the potential opportunity. I will say that as we think about combining our two companies – and maybe Steve might want to make some comments as well – we really are looking to become an employer of choice. And as we're thinking about the consolidation of our benefit programs and so on and so forth, there may be some investment back into the business from that perspective. And the other point is we will continue to invest in our system environment, and there can be some upfront P&L investments as it relates to that as well.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Kevin, I think you summarized it well. Jamie, I think what you'll see with us is as we progress through this year and into next year, the most important thing is as we claim synergies that we'll all be able to see them hitting the bottom line. And so, that's the rigor we're providing, and we'll just keep everybody updated on a quarterly basis how that's creating value.
Jamie L. Cook - Credit Suisse Securities (USA) LLC: Okay. Thanks. I'll get back in queue.
Operator: Your next question comes from the line of Tahira Afzal of KeyBanc Capital Markets. Your line is open.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Hi and congrats in the quarter.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thanks, Tahira.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thank you.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Steve, if you look out, I know you're talking more and more about water. I know it's still early months, but can you kind of frame maybe the scope and size of what you're seeing in context of perhaps what you're seeing in some of your other businesses? In terms of revenue synergies, is this the area with the most opportunities or would you point to one of the other segments?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah, there's a handful of things that come to mind, Tahira, when we think about the building revenue synergy pipeline, clearly the water opportunity across our commercial sector, so what CH2M can now bring to our mining and petroleum and chemicals footprint, so the ECR business as well as other parts of the company, Advanced Facilities, et cetera. I'd say you hit on that one. The environmental side, similarly, we're getting excited about now being able to bring CH2M's early-stage environmental permitting capabilities to our ECR business. As another example, CH2M brought the electronics semiconductor business. And now, with the horsepower of Jacobs, we're clearly seeing an increasing pipeline of opportunities for a lot of the major programs that are unfolding in that sector with some pretty exciting things going on there. And on the Nuclear side, clearly, the combination of our deeper, more comprehensive capabilities as a combined company and what looks like a very big demand for environmental cleanup opportunities are another area that comes to mind. So, we're pretty excited. We've been heavily focused on the cost synergy side early on. And as Kevin said, we've got significant opportunity there, but I think you're going to hear more and more now over the next several quarters about a building pipeline of revenue synergies across the two companies coming together.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Thank you, Steve. And as a follow-up and maybe perhaps this is more for Kevin, as you look out beyond fiscal year 2018, you seem to be hinting of opportunities for margin expansion partly just because the macro environment and revenue synergies seem to be shaping up well but also perhaps from more visible appearance of some of the cost synergies. As you look into fiscal year 2019, which would you identify as the more prominent driver of potential margin upside, the cost synergies or the business itself or maybe perhaps they're equal?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Well, let me just start. Our ECR business, I think I focused on my comments there that we're very confident that we're going to be able to continue to drive margin improvement in that business, and that will be all sort of centered around the type of business that we're winning, the project delivery excellence that has been demonstrated over the last couple of years as part of our new focus on our center of excellence capabilities in project delivery and the whole cost synergy opportunity there as well. So, I think you're going to see ECR continue to be an area of opportunity for us there. But as we do benefit from the scale of combining these two companies, as we grow aggressively in ATEN and BIAF, we're also going to see the benefit of that more efficient, productive cost structure showing the benefits of operating profit margin improvement in those two businesses as well.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. Thank you, Steve, and congrats again on a good quarter.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thank you.
Operator: Your next question comes from the line of Chad Dillard of Deutsche Bank. Your line is open.
Chad Dillard - Deutsche Bank Securities, Inc.: Hi. Good morning, everyone.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Good morning.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Morning, Chad.
Chad Dillard - Deutsche Bank Securities, Inc.: So, I just wanted to focus a little bit on your commentary about share gains in the ATEN business. Can you just talk about what you've changed to unlock this growth and how sustainable you think this is? And then relatedly, do you think you can keep the ATEN backlog growing as you exit this year on a pro forma basis?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah, there's several things that have contributed to the share gains. I think it does start with sort of the business model that Terry Hagen and his team have developed over the last several years as the outcome of the strategy, and that is it all starts with an industry-leading program and project execution. It's clearly a leader within Jacobs, and it's a leader in the industry. And specifically, the cost base that we've been able to develop, which is not only low cost but flexible to align with what the client needs program to program, so it can be tailored specifically to whatever client opportunity we're working with especially in the government side. And as I mentioned, that's proved to be a differentiator versus the rest of the industry. But the other piece is the organic and inorganic strategy that's unfolding. The acquisitions that we made over the last couple of years in cybersecurity and IT all started with the FNS acquisition several years ago and then Blue Canopy and others that have given us a growing footprint in the whole IT sector, cybersecurity, which we didn't have at Jacobs five years ago. And so, when you look at the share gains we made in that sector, I think we've only just scratched the surface of the opportunity because we'll not only be able to use that in this specific government services sector of ATEN but be able to take that as part of our Jacobs connected enterprise offering across our BIAF and ECR sectors, which is already unfolding. So, I think those are examples of how we're getting share gains, and there's several other factors that go into it as well.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: I think the other point, Chad, to augment Steve's comments, if you think about the businesses that have come into Jacobs from the CH2M of very strong nuclear and environmental work where we're now poised and positioned to be having access to projects that are the most complex in the world where prior to the acquisition, we didn't have as much of that pedigree. So, we've not only, as Steve was highlighting, augmented and solidified our strategy going forward on the legacy Jacobs ATEN stuff, but the environmental and nuclear parts of the portfolio are also positioning us well to compete at a higher level in those businesses too, so we feel really good about that.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it. And then switching over to mining, can you talk about just the visibility in that space? If you could hit on the competitive environment and what you're seeing in terms of available capacity from the contractor side, your expectations for just awards and the timing and just the nature of these awards, is it going to be more greenfield versus brownfield, and then just like the share of like the total mining project that you can actually go after.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. When we do look at the ECR business, I'd say it's the area that we're starting to gain more and more optimism across the whole commodity sector. The mining side is clearly starting to demonstrate real improvement. Still at a stage where we characterize it as it a lot of work that was previously canceled or postponed is now coming back on the table. So, we're involved in a lot of the front-end work on consulting, studies, pre-FEED, and we are now building more and more confidence that these are going to convert to full CapEx projects probably as we enter the first half of 2019. It's still what I would say – fiscal 2018 is going to be a ramp-up on these smaller FEED studies and fully expect that this is now going to start to give us some opportunities for bigger projects as we convert those FEEDs to EPCM and other services for the client. Our focus remains in copper and iron ore and a few other of the mining opportunities. And I'd say it's the same message as last quarter, very, very focused around the Latin America and Australia markets and a few other areas around the world, but those are where we're seeing the biggest opportunities.
Chad Dillard - Deutsche Bank Securities, Inc.: Got it. Thank you.
Operator: Your next question comes from the line of Andy Wittmann of Baird. Your line is open.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Great. Thanks. Maybe, Kevin, to start out, just to really boil it down, can you just comment on the guidance? You beat the consensus number by $0.11 or $0.12 here, and the raise is about $0.15. Are you thinking about the balance of the year as essentially mostly unchanged from your prior guidance with the outperformance just being passed along, or is there a real operational tangible improvement that you expect to contribute to the balance of the year?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Well, I think there's a little bit of both actually. Clearly, we saw improving dynamics in the back half of the quarter, Andy, which was good to ultimately deliver the performance, and we'll see how that plays out in the balance of the year. But I would say there is a slight uptick as it relates to the balance-of-the-year figures versus where we were before. Look, we've got a lot of moving pieces right now, and we're focused on driving the delivery of all of the things that we're working towards in creating a single company that's focused together, aligned with culture being a big part of that. So, we'll continue to be focused there. I would say it's an appropriate guidance level at this particular point in time. I think you know that we don't go overboard on our guidance by any stretch of the imagination, but I think it's an appropriate and prudent step to have taken.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: You made a couple of comments in ATEN and the BIAF segments about kind of your outlook. It sounded like there's some optimism generally in ECR, but could you just give us a sense of what you're expecting there in the margins recognizing that they were up if you adjust for the India Welfare item? And I just want to get your sense on specifically what you think that margin can do in terms of organic revenue margins for the balance of the year.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Look, that was a good number for Q2 on the ECR business where it was above 5% for the quarter. We think we'll be in that range in the plus 5%, hopefully, kind of range or thereabouts. So, we do feel that there's opportunities there. I do think it's going to be important for us as we look to 2019 to start to see some incremental growth, and that will certainly position us to be able to get growth leverage off of the gross profit that would come into play. So, I think we feel good about the improvements that the line of businesses made since we initiated our strategy. We're at a much different position than we were historically, and we're feeling good about how they can end kind of near those levels in the back half.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: And my final question is some text in the deck here, but you didn't comment specifically, but I think you said that you continue to evaluate the portfolio. I just wonder if you could give an update on that. And maybe specifically like given that there's a lot of changes happening inside the organization right now as you integrate CH2M, would you be willing to undertake another portfolio evaluation with so much going on right now? Is it the time because there is so much changing or do you have to wait till the dust clears a little bit before you'd optimize the portfolio?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: We're going to always say we'll continue to evaluate the portfolio, but the majority of the organization – when I say majority, I'm talking about 99% – are focused on continuing the successful integration of CH2M and Jacobs. We have a few corporate folks that their job is to continue to monitor the market and evaluate how we're doing and think about the future. But at this stage, we have nothing to discuss about further portfolio initiatives, and it's got to be all about, for the next several quarters, demonstrating a successful integration, driving the cultural success, demonstrating the cost synergies, and getting the accretion that we expect from this acquisition, and deleveraging occurring in the second half as we've discussed. And that's what we're all focused on.
Andrew John Wittmann - Robert W. Baird & Co., Inc.: Okay. Thank you.
Operator: Your next question comes from the line of Jerry Revich of Goldman Sachs. Your line is open.
Corinne Jenkins - Goldman Sachs & Co. LLC: Hi. This is Corinne Jenkins on for Jerry. So, I was hoping you could talk a little bit about the competitive environment across your bid pipeline.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: The competitive environment as always what we're battling in this industry, and I hope you get a sense that we're winning that battle across really, I think, all three of our lines of businesses at an extremely high level. And they're different. In the government services side where our ATEN predominantly competes, as you know, that's a huge market where we still have a very small share of. And so, I think our team there is doing an excellent job of continuing to gain share across the last several years and we project through the next several years, chipping away in many cases at competitors that we had not previously competed against, companies that we hadn't previously competed against. And I think that ATEN model I've talked about it and we're pretty excited about it. In BIAF, I think the key here is the combination of Jacobs and CH2M has, to some extent, started to narrow the competitive field because we bring a scale and a portfolio offering that you can bring. And we're definitely seeing it as part of our synergy pipeline. That's not to say that it's not intense out there from a competitive situation at specific initiatives. But overall, when you take a step back, we've clearly created a tremendous opportunity with the combination, the power of those two companies. And then in ECR, again, what we try to do is stay away from competing against those high-risk projects with onerous terms and conditions and really stay focused on our partnerships with our focused clients and differentiating ourselves, in many cases, getting sole-sourced awards and being in these clients for decades, just continuing to renew these relationships in a bigger way because of the broader offering we can bring now with CH2M with water and environmental and also the Jacobs Connected Enterprise opportunities with digitization and other innovation into that area. So, I think what I'm trying to describe here is that we're trying to stay away from the traditional commodity-competitive profile and really hone in on those areas where we can provide clients with solutions and really be focused on that rather than trying to win a bid.
Corinne Jenkins - Goldman Sachs & Co. LLC: Great. Thanks. And you've talked a lot about the gross margin in your backlog being up. Can you just talk about how far along you are on implementing this strategic focus and how much of the current backlog reflects that strategy versus maybe something that was booked before you'd really gotten there on it?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: What we try to do in these quarterly calls is to not only just talk about the revenue backlog but to talk about the gross margin and backlog. And again, we're very excited that this quarter, as we have been the last several quarters, have demonstrated as we're building the backlog, the gross margin in that backlog is incrementally improving. And so, we're just going to remain focused. We're not going to sort of put out a projection on that other than we fully are driven by each of these three lines of businesses continuing to win business of higher margin and then executing better and better every quarter to the point where we keep that margin that we've been awarded to hit the bottom line and to demonstrate it ultimately in operating profit as a percent of revenue. And we're going to remain focused on it.
Corinne Jenkins - Goldman Sachs & Co. LLC: Thank you.
Operator: Your next question comes from the line of Anna Kaminskaya of Bank of America. Your line is open.
Anna Kaminskaya - Bank of America Merrill Lynch: Good morning, guys. Maybe I can start off just talking about free cash flow. Any color on why we had such a big receivable cash outflow? I do realize organic growth has been very robust. So, any targets you can set for leverage by the end of the year? And if we continue growing at such rates, will a lot of cash be eaten by working capital? Just any more color on moving parts for the free cash flow for the year.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Yeah. Anna, this is Kevin. So, just real briefly, as we saw the business trend over the course of the quarter, we actually saw a very, very large chunk of sales come into play in March. So, given the fact that many of our businesses have 30-day terms, that the bulk of the growth came in March, there really was a tick up in DSO because of that fact. Our expectation is that we're not going to see that kind of going forward where it all comes always at the end of the quarter. But that certainly was a player there in terms of the accounts receivable picking up a little bit. But you know that that's part of our metric in terms of incentives. And while we don't adjust for the fact that all the sales, revenue or the revenue came in, in March, we got to go get that cash. So, we're focused on that to be able to try and drive that figure down obviously over the balance of the year. We'll be less than satisfied relative to our compensation payout. The other point is that we did have sizable one-times as it relates to the acquisition-related expenses and synergy-related costs. That was well over a couple hundred million dollars. So, we think that this is the one quarter where we would have a lot of noise. And as we position for Q3 and Q4, we expect that we'll be able to get back to where we're seeing a more substantial de-leveraging in the back half of the year.
Anna Kaminskaya - Bank of America Merrill Lynch: Great. And then maybe just going back and summarizing your comments on your backlog outlook for the rest of the year, if I take some of the moving parts on the large project in your government business and maybe your comments on energy and chemical outlook, should it be steady from here on? Can we see sequential growth through the end of the year? Just trying to put all of the comments together, kind of what implied for the outlook in the next quarters.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Generally, we would say we're driving for sequential growth in the second half on our backlog. ATEN has had a significant increase in backlog when you go back to a year, over the last couple of years. And so, from an ATEN standpoint, part of that is timing as awards come in. But again, we expect over the course of the next 6 to 12 months to continue to see improvement in ATEN backlog. I mentioned the power of Jacobs and CH2M together on BIAF, and that business unit, legacy Jacobs and now combined has demonstrated over the last, I don't know, 8, 9, 10 quarters nice growth in backlog, and we expect that to continue. And ECR is where we're going to continue to stay focused on benefiting from this upcycle that appears to start showing early signs of unfolding. But I think you should expect that over the next, again, 6 to 9 to 12 months to be modest growth as we selectively pick out those areas which are low to prudent risk and long-term recurring revenue rather than getting out ahead of ourselves and getting into some projects maybe we'll regret a couple of years from now. So, I think overall, that's a positive message around our expectation for backlog growth over the next 6 to 12 months.
Anna Kaminskaya - Bank of America Merrill Lynch: Great. Thank you very much. Great quarter.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you.
Operator: Your next question comes from the line of Michael Dudas of Vertical Research. Your line is open.
Michael S. Dudas - Vertical Research Partners LLC: Good morning. Steve, there's been a lot of talk in the industry and calls about risk of backlogs and business mixes going forward. So, looking at your presentation, I noticed just especially in ECR and in the Buildings, not as much into design build or any like kind of construction mode. Is that something that are you willing to do a little bit more given the combined size and the opportunities you have with CH2M, what the clients want from you, or is it still going to be kind of measured on keeping it design, billable-hour, O&M work through those end markets?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. I think your latter comment is more of where our mindset is. We've got a rich pipeline of opportunity in what we describe as professional services. And with the combination of CH2M now, we're really seeing a pipeline starting to build on high-end consulting work as an example around transportation planning and urbanization and bringing the whole water and environmental solutions. And so, that's where our focus is. We have selective areas where we've proven strong capability to do some design build or EPC work, but those are very selective there with clients that we've had proven success with or very focused markets, for example, on the water side where we're a global industry leader in project delivery excellence and those kind of projects. So, at this time, you shouldn't expect to see Jacobs try to extend ourselves into other areas of risky construction or that sort of area and stay focused on our strategy.
Michael S. Dudas - Vertical Research Partners LLC: Good that you confirmed that. My follow-up, Steve, would be with 77,000 employees and the business and the opportunities that you have and the ability to get more diverse and upgrade the talent, given your growth expectations over the next three to five years, do we anticipate a modest growth? How is the employee base going to change? And do you have enough to fulfill and achieve the order and backlog opportunities that you see in front of you not only in the second half this year but well into 2019 and 2020?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Our line of business structure that we put in place now almost two years ago, which we've refined with the three lines of business for the new combined company, I think, is set up to be able to benefit from a large-scale Jacobs now. That's one of the largest firms in our industry and growing, but to bring that down to the line of business level where we maintain the entrepreneurial flexibility, innovative approach that tailors to our clients' needs and get the best of both worlds. And you're hitting on a point that is our total focus now on how we create a culture in this company that benefits from that combination that other companies haven't yet proven to be successful. And we're getting excited about what's unfolding at Jacobs from that standpoint. And so, our goals are aggressive. We're clearly a growth company focused now with regard to the CH2M acquisition, and we don't have specific targets that we're going to set or quote now from that standpoint. But as I mentioned, I don't think we've seen anywhere near the benefit of what the potential is from a revenue synergy standpoint with these two combined companies. So, as we get through the next year around the whole cost synergy side, I fully expect you're going to hear more about what we expect from a top line standpoint of these combined companies.
Michael S. Dudas - Vertical Research Partners LLC: Thanks, Steve.
Operator: Your next question comes from the line of Steven Fisher of UBS. Your line is open.
Erika Jackson - UBS Securities LLC: Hi. This is Erika Jackson on for Steve. I just had a quick question about the cash flow profile of the combined Jacobs and CH2M business. I know that you're going to start accelerating the deleveraging in the second half of this year. Do you also expect to start hitting the full potential free cash flow of the combined business in the second half this year or will that be more of, I guess, 2019 story once you kind of finish up all the cash restructuring cost?
Kevin C. Berryman - Jacobs Engineering Group, Inc.: So, this is Kevin. Just a quick comment. I think that it really boils down to how much traction we start to get on the DSO and accounts receivable efforts with the integration of the CH2M organization. We do expect that we're going to start to gain traction. Exactly the timing of that and whether we see our end result that we want to see by the end of the fiscal year or not, I'll hedge a little bit on that comment. But it's very clear that we need to improve our accounts receivable from the mere fact that we got to do it to hit our incentive comp targets that we've established for ourselves. So, I can assure you, we're after it. And whether or not we get to kind of those target figures or not, we'll end up seeing how it's going to play. You guys have heard me say about how this is pick-and-shovel work, which is a lot of day in, day out, rigor and discipline, discussing with customers, negotiating new terms and contracts that are appropriate as it relates to receivables and so on and so forth. So, we think we're well on our way. The exact timing of it, I'm going to hedge on it. But clearly, it's going to be an important part for us personally in this company to be able to get to our incentive targets we've established for ourselves.
Erika Jackson - UBS Securities LLC: Great. Thank you.
Operator: And your final question comes from the line of Andrew Kaplowitz of Citigroup. Your line is open.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Hey, guys. Good quarter.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Thank you.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Thank you, Andrew.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: So, look, obviously, a big acceleration in your businesses with revenue on mid-teens pro forma, and Jacobs legacy business was up higher than that. I think, Steve, you talked about market share gains. What's interesting here is it just seems like a sudden acceleration in the Jacobs legacy business, probably bigger than I've seen for you guys maybe ever. So, maybe talk about that. Is this the inflection we've been waiting for? Because you guys tend to be, I guess, on the earlier cycle side when customers start to spend again. So, you mentioned the March orders/sales. Is it just an uptick as your customers respond to tax reform and the higher commodity prices?
Steven J. Demetriou - Jacobs Engineering Group, Inc.: There's several factors that, as you're asking that question, is coming to mind about what's happening with our revenue and now the growth is, if you go back to our strategy that we started unveiling a couple years ago, we explained that we probably were going to start to see some revenue decline as we shed unprofitable business or low-value business and really focus on margin. And then we committed to as we did that and started to grow again, we would sustain those margins for the most part and pivot to growth. And I think that's what's unfolded here is that we went through that clean-up phase. We ended up on a Jacob's legacy side with a richer mix of business focusing on what we said were two-thirds of the company that had higher value. We started the whole organic shift even before the CH2M acquisition started. So, yes, you're correct. When you look at legacy Jacobs from a year, two years ago to this quarter, we've clearly demonstrated organic growth. And then you tack on CH2M, which from the data that I'm looking at, also showed organic growth from – second quarter revenue growth from second quarter last year to second quarter this year. And so, you put the combined companies together and start to now drive the benefit of the portfolio strength that we have as one combined company. We fully expect that this growth track is going to continue to benefit us from a from a P&L revenue standpoint over the next several years.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Just a quick other comment too, Andrew. As you may recall, Q2 of year ago was the point that we reached the lowest kind of level of revenue, and that's when we were talking about this pivoting to the growth factor. So, if you do look at the year-ago figures, it is that point where we kind of said okay, now it's going to start sequentially growing, which is what happened. So, part of this acceleration that's been building over the time, it's just comparing to that last quarter a year ago, which was quite low. And so, look, I don't think we're going to be growing at mid-teen numbers necessarily over the balance of the year because now we're starting to be comparing to figures that started to see some growth inherent in them last year in the back half.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Kevin, and then just some clean-up questions, I think you mentioned for ATEN margins, 7%, 8% margin for the rest of the year. I think last quarter, for the old A&T business, you were talking about 8% to 9%, and it may be apples and oranges, but maybe you could just comment on that and versus that 7.1% that you reported in the quarter.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Yeah, so the restructuring of our lines of businesses into now ATEN where the legacy Jacobs has been 8% to 9%, the legacy CH2M pulls it down to that 7% number. So, we now believe we're in the 7% to 8% range with the new CH2M pieces of the portfolio. So, yeah, you're right it's apples and oranges, and we still feel like there's opportunities to try and drive that forward in a more positive way. So, we'll look to see how that plays out.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: Yeah. And just to build on Kevin's point because I think that's important is if you go back and look at second quarter last year to second quarter this year and take out the legal matter this year that is onetime, the Jacobs side and the CH2M side, when you're analyzing them on a stand-alone basis, both grew their operating profit margin. And so, I think that you'd put that with what Kevin is talking about, I think the whole margin story is continuing to track what we've talked about over the last couple of years with growth in ATEN.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: And just one more clean-up from me, Kevin, if I could, you mentioned the $259 million in cash used in Q2 for CH2M-related payments including a final deal consideration payment. Maybe you can tell us what that is, and I don't know if you want to sort of break out CH2M cash versus Jacobs cash, but if you can, I'm just curious how you're progressing on that CH2M sort of cash generation potential that we know you have over the medium term.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: Look, I would say – look, kind of I would call it clean up as it relates to the consideration items. So, there was, for example, international shareholders and change of control-related activities, all of these kinds of things were ending up being not executed in December in that two-week stub period that we actually had. So, there's probably of the $250 million, maybe half of it was relative to that, and then the other half was on these other onetime-related transaction-related costs, whether they be legal costs, whether they be investment banker fees, whether they be internal investments we're making as well. So, look, this was a high point. That's a high point. I think it's great that ultimately, our gross debt actually went down a little bit in Q2 with the uptick in receivables that we talked about earlier with Anna's question and with this $250 million. So, I think that that shows you the power of this portfolio and how we're going to be able to de-lever it once these things are behind us. And certainly from the – I would call it the onetime transaction-related costs and the consideration costs, those things are behind us effectively. So, now, we're really talking about the investments to get out the synergies. So, that in itself will allow us to start to see the leverage that we're looking to see over the back half of the year.
Andrew Kaplowitz - Citigroup Global Markets, Inc.: Thanks, guys.
Kevin C. Berryman - Jacobs Engineering Group, Inc.: All right. Very good.
Steven J. Demetriou - Jacobs Engineering Group, Inc.: So, thanks for joining our call today. And I just want to reiterate that we remain fully committed to executing on our strategy and delivering the promises that we've committed to on the CH2M acquisition. Thank you.
Operator: This concludes today's conference call and webinar. You may now disconnect.